Operator: Good afternoon, everyone and welcome to First Solar's Third Quarter 2024 Earnings Call. This call is being webcast live on the Investors section of First Solar's website at investor.firstsolar.com. [Operator Instructions] As a reminder, today's call is being recorded. I would now like to turn the call over to First Solar, Investor Relations. You may begin.
Richard Romero: Good afternoon, and thank you for joining us. Today, the company issued a press release announcing its third quarter 2024 financial results. A copy of the press release and associated presentation are available on First Solar's website at investor.firstsolar.com. With us today are Mark Widmar, Chief Executive Officer; and Alex Bradley, Chief Financial Officer. Mark will provide business and updates, Alex will discuss our bookings pipeline, quarterly financial results and provide updated guidance. Following their remarks, we will open the call to questions. Please note, this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statements contained in today's press release and presentation for a more complete description. It is now my pleasure to introduce Mark Widmar, Chief Executive Officer.
Mark Widmar : Good afternoon. Thank you for joining us today. As we approach the end of 2024. We remain pleased with the progress made across our business navigating against the backdrop of industry volatility and political uncertainty with a continuous focus on balancing growth, profitability, and liquidity. As noted at our Analyst Day in late 2023 and our previous earnings call, our story is about the value of long-term strategic decision-making. Underpinned by differentiated technology and business model, which endeavors to drive value creation for our shareholders and partners. We expect that this discipline long-term approach will allow us to work through the outcomes of the upcoming U.S. elections as well as continued volatility across the solar manufacturing industry. Beginning on Slide 3, I will share some key highlights from the third quarter. From a commercial perspective, we continued our highly selected approach to contracting with a net 0.4 gigawatts of new bookings since our last earnings call. This brings our year-to-date net bookings to 4 gigawatts and our total contracted backlog to 73.3 gigawatts with order stretching through 2030. From a manufacturing perspective, while we're pleased with record production of 3.8 gigawatts in the quarter, our financial results were impacted by product warranty charge of $50 million due to manufacturing issues, which we have identified and taken actions to address related to the initial production of our Series 6 -- Series 7, excuse me, product. Primarily attributed to variability in the effectiveness of the glass cleaning process at the beginning of our production line and an error in our process of predicting the engineering performance margin. We inaugurated our new $1.1 billion Alabama facility, which when fully scaled, adds 3.5 gigawatts of vertically integrated nameplate solar manufacturing capacity. The start of commercial operation at the Alabama facility along with our under-construction Louisiana facility, which remains on track to begin operations in the second half of 2025 keeps us on course to achieve our projection of over 14 gigawatts of annual U.S. nameplate capacity and over 25 gigawatts of global nameplate capacity by 2026. This growth is expected to support an estimated 30,000 direct, indirect, and induced jobs in the U.S. alone. Representing $2.8 billion in annual labor income, demonstrating the significant contribution to our nation's economic growth that high value solar manufacturing can provide. Turning to technology. As planned, we are launching CuRe production at our lead line in Ohio in Q4 of this year. We intend to launch this production in a phased approach, initially producing and selling approximately 0.4 gigawatts of CuRe product through Q1 of 2025. Upon successful field performance validation following the deployment of this volume of sold CuRe product, we intend to permanently convert the Ohio lead line to CuRe in Q4 2025 as well as replicate CuRe across the fleet, beginning as scheduled with our Vietnam, and third Ohio facilities and time to start capturing upside from our contractual revenue adjusters. In addition, at our new perovskite development line in Perrysburg, this quarter will be the first time we'll be able to run technology samples through an automated process that simulates in-line manufacturing conditions as we accelerate our efforts to develop the next breakthrough in thin film photovoltaic technology. With regard to intellectual property, we have recently sent notification letters to Tier 1 solar manufacturers that we believe are infringing on First Solar's TOPCon patent portfolio, which I'll discuss in more detail later in the call. While Alex will provide a comprehensive overview of the third quarter 2024 financial results, I would like to highlight our third quarter earnings per share of $2.91 which includes the $50 million product warranty charge referenced earlier. Finally, our leadership in thin film technology and track record of investing in innovation led to First Solar being recognized by MIT Technology Review's annual list of climate tech companies to watch, the only solar technology and manufacturing company to be included in this year's list. Furthermore, we were also proud to make our debut as TIME’s magazine's World's Best Companies in 2024 list. Moving to Slide 4, we recently published our annual sustainability report and would like to take this opportunity to share a few highlights. In our 25th year, we are doubling down on our commitment to the principles of responsible solar, which drives our company's environmental, social, and governance strategy, leadership, and differentiation. From the health and environmental benefits of achieving greater avoidant emissions through our ultra-low carbon solar technology to our longstanding leadership in PV recycling and commitment to human rights, transparency, and credible third-party validation. We continue to establish new standards while challenging industry as a whole to do better. Over the past year, we continue to drive environmental, social, and governance progress. As part of our culture of continuous improvement, we successfully reduced our water and waste intensity per watt produced and increased the percentage of women in our workforce in 2023 relative to the preceding year. We continue to build on our longstanding leadership position in PV recycling in 2023, achieving a global average material recovery rate of 95% across our recycled facilities. Today, we operate high value recycling facilities in the U.S., Germany, Malaysia, Vietnam, and India. A shift to producing a verifiable ultra-low carbon solar is needed to ensure that the global PV manufacturing industry does not undermine its role in its fight against climate change. Although, the industry currently accounts for a small portion of global emissions today that's changing. A report by Clean Energy Buyers Institute warns that a business as usual approach dominated by energy intensive, crisp and silicon would lead PV manufacturing to exceed aluminum manufacturing. Currently the fourth most emission intensive industrial commodity by 2024 -- 2040. We are proud to be leading the charge by having the world's first solar modules to achieve EP Climate plus designation and meet the industry's first ultra-low carbon solar thresholds for global use. Turning to Slide 5. I would like to address the numerous intellectual property challenges concerning crystalline silicon cell technology that are currently ongoing within the industry. Historically, PV industry intellectual property claims, particularly related to crystalline silicon technologies, and especially among Chinese headquarter producers, have been limited and seldom asserted. This has largely been due to the understanding that cell related technology advancements were effectively open source with patents and knowhow freely shared within the Chinese manufacturing ecosystem. Today's intellectual property landscape within the solar manufacturing sector has clearly changed. As shown on Slide 5, a number of leading manufacturers are asserting patent related claims against one another. Notably, a number of these actions are focused on alleged infringement of TOPCon patents. As just one example. Earlier this month, Trina filed a section 337 complaint at the U.S. International Trade Commission, or ITC, against the floods of Runergy and Adani. According to the complaint, Trina is seeking to exclude TOPCon solar cells modules and components from importation into the United States due to alleged patent infringement, which the ITC is now investigating. As disclosed earlier in the third quarter, First Solar also possesses a TOPCon patent portfolio through our acquisition of TetraSun in 2013, which we have begun to leverage as part of our ongoing efforts to develop the next generation of PV technologies. Our TOPCon portfolio includes patents and patent applications in the United States, Australia, Canada, China, Europe, Hong Kong, Japan, Mexico, Malaysia, Singapore, South Korea, Vietnam, and United Arab Emirates with patent terms extending to 2030. Note regarding the India market, although First Solar does not possess a TOPCon patent in India, several jurisdictions where we do have patents are sourcing India bound cell manufacturing and exports. We believe we'll be able to assert our patent rights in these jurisdictions against manufacturers and exporters of infringing India bound products. While a number of other market participants are claiming they too own TOPCon patents, it is important to note that as with any mature technology, it is not unusual that multiple key patents may be held by multiple and related parties.  Without ownership or license covering every relevant patent used in the manufacturing process, a manufacturer does not have the freedom to produce and sell an otherwise infringing product.  Since our April -- since our July announcement regarding First Solar's TOPCon patent portfolio, we have advanced our investigation into several crystalline silicon solar manufacturers for potential infringement of our patents. The result of these efforts has enhanced our conviction that we possess fundamentally valid and enforceable patents in relation to TOPCon cell technology. To that end, we have recently begun sending letters to various solar manufacturers shown on Slide 5. Under the letterhead of a law firm with one of the world's leading intellectual property practices, providing notice to each recipient that they are using First Solar's TOPCon patents without a license and reserving First Solar's rights in their entirety. We are currently in negotiation with multiple interested parties and rights to our TOPCon patent portfolio. Finally, during the third quarter we achieved a victory upholding the validity of our Chinese TOPCon patents in the Patent Reexamination and Invalidation Department or PRID of the China National Intellectual Property Administration, which is the patent office in China. The PRID upheld the validity of all 17 claims of our Chinese TOPCon patent against a number of asserted prior art references. Together with our aforementioned outreach to manufacturers aimed at discussing potential structures to authorize the actual or planned use of our TOPCon patents. Our recent victory in China provides third party validation of the strength of our TOPCon patent portfolio. First Solar has long held a commitment to fundamental concepts of respect for the integrity of property rights. As shown on Slide 5 and reflected in numerous public announcements and public reporting over the past year, First Solar is not alone in seeking to protect its intellectual property rights, with a number of other leading manufacturers taking actions to protect their rights as well.  To the extent these manufacturers, the majority of which are Chinese based, continue to report significant financial loss in their race to the bottom. It is reasonable to expect that they will continue to aggressively assert these claims. We believe the IP-based uncertainty surrounding crystalline silicon manufacturers' freedom to manufacture and sell TOPCon solar products and the potential complications for a PV project utilizing potentially infringing solar cells should be taken in consideration by developers, project owners, and PPA off-takers, as well as debt and tax equity financing parties. In addition, we believe the current intellectual property landscape, particularly as it relates to TOPCon cell technology, underscores one of First Solar's key competitive differentiators of delivering a unique proprietary homegrown cadmium telluride semiconductor technology, in contrast to the highly commoditized crystal and silicon modules. I'll now turn the call over to Alex to discuss our bookings, pipeline and financials.
Alex Bradley : Thanks, Mark. Beginning on Slide 6. As of December 31st, 2023, a contracted backlog totaled 78.3 gigawatts with an aggregate value of $23.3 billion. Through September 30, 2024, we had recognized 9 gigawatts of sold volume and contracted an additional 3.5 gigawatts. This includes a reduction to our bookings of 0.4 gigawatts due to the termination of a contract with Plug Power. A former corporate customer who experienced delays their project as first noted on our earnings call in February of this year. After significant attempts to negotiate, a mutually beneficial solution failed and we were unable to renegotiate the contract to our satisfaction. In Q3, we elected to terminate the contract and pursue our contractually agreed termination remedies. This brings our total backlog to 72.8 gigawatts at quarter end with an aggregate value of $21.7 billion, implying an ASP of approximately $0.298 per watt, excluding adjusters were applicable. Since the end of the third quarter, we've entered into an additional 0.5 gigawatts of contracts increasing our total backlog to 73.3 gigawatts. What about ASPs for our 0.8 gigawatts of gross bookings since the prior earnings call, this includes approximately 180 megawatts of domestic India shipments and an ASP of approximately $0.19 per watt. And given the India market pricing environment, I'll further discuss our strategy as it relates to sales of our India produced product shortly. It also includes the booking for 50 megawatts of aged low bin inventory that would not be usable by our traditional utility scale customer base, and that would otherwise be scrapped to be sold for a non-traditional contracting arrangement. Structures a true non-contingent sale with a module distributor at an initial ASP of $0.05 per watt. We expect to receive upside revenue sharing based on the final sale price, which we were reflected as incremental revenue at the time of sale to the end user. The remaining approximately 560 megawatts of bookings to our traditional U.S. utility scale customer base is at an ASP of approximately $0.304 per watt, excluding adjusters, or up to $0.32 for what, assuming the realization of adjusters were applicable. As it relates to the U.S. utility scale market. The updated domestic content bonus, Safe Harbor Guidance issued by the Department of Treasury and IRS in May, 2024, sets out a more practical points based calculation rather than a cost-based calculation for a renewable energy project to qualify for the bonus, placing a high value on vertically integrated manufacturing utilizes domestically procured components. The profile exemplified by First Solar's growing domestic manufacturing operations. Given the high domestic content embedded in our U.S. produced Series 6 and Series 7 modules, which critically feature a domestically manufactured cell and which may incorporate domestic components for all the points eligible components specified in the elective safe harbor in the May, 2024 updated guidance. Our production fleet greatly enables our customer's ability to satisfy the domestic content bonus criteria. Under the new elective safe harbor, there are opportunities for First Solar to optimize its supply chain and allocation strategy, including with deliveries to customers and modules produced across our global fleet. This approach allows us to optimize our production base, while ensuring that our customers receive the points necessary for them to qualify for and critically finance the domestic content bonus. To that end, during the quarter, we began effecting this optimization strategy to amend contracts, while maintaining the ASP under the original module sale agreement. A substantial portion of our backlog includes opportunities to increase the base ASP through the application of adjusters, if we realize achievements within our current technology roadmap as of the expected timing for delivery of the product. At the end of third quarter, we had approximately 37.3 gigawatts of contracted volume with these adjusters, which if fully realized could result in additional revenue of up to approximately $0.7 billion or approximately $0.02 per watt, majority of which will be recognized between 2026 and 2028. This amount does not include potential adjustments, which are generally applicable to the total contracted backlog, both the ultimate module been delivered to the customer, which may adjust the ASP in the sales contract upwards or downwards, and for increases in sales rate or applicable aluminum or steel commodity price changes. Reflected on Slide 7, our total pipeline of potential bookings remains strong with bookings opportunities totaling 81.4 gigawatts, an increase of approximately 0.8 gigawatts since the previous quarter. Our mid-to-late stage bookings opportunity decreased by approximately 5.1 gigawatts to 23.5 gigawatts, and that includes 20.9 gigawatts in North America and 2.3 gigawatts in India. Within our mid-to-late stage pipeline, 3.9 gigawatts of opportunities that are contract and subject to conditions precedent, including in the U.S. a 620-megawatt module supply grid with a customer that we supply in power to our hyperscaler, as referenced on our last earnings call and 0.8 gigawatts in India. As a reminder, signed contracts in India would not be recognized as bookings till we receive full security against the offtake. And note that we've reduced our opportunities that our contract is subject to conditions precedent for India by 0.4 gigawatts as a result of terminating a defaulted module supply agreement with an India affiliate of a European oil major, who is reportedly in the process of selling this business. Improving our revenues for the third quarter is a contractual termination payment associated with the custom default under this contract. As stated on previous earnings calls, given our diminished available supply through 2027, the long-dated time frame into which we're now selling, the need to align customer project visibility with our balanced approach to ASPs, payment security, and other key contractual terms. And given the uncertainty related to policy environment due to the upcoming U.S. election, we'll continue to leverage our position of strength in our contracted backlog and be highly selective in our approach to new bookings this year. We intend to continue forward contracts with customers who prioritize long-term relationships and appropriately value our points of differentiation. On Slide 8, I'll cover our financial results for the third quarter. Net sales in the third quarter were $0.9 billion decrease of $0.1 billion compared to the second quarter. Decrease in net sales was driven by a 12% decrease in the volume of megawatts sold and the aforementioned increase in our Series 7 product warranty liability, partly offset by expected payments associated with contract terminations in the U.S. and India. Gross margin was 50% in the third quarter compared to 49% in the second quarter. The increase was primarily attributable to higher contract termination payments and a higher mix of modules sold from our US factories, which led to $264 million of Section 45X tax credits during the period, partially offset by the aforementioned increase in our Series 7 product warranty liability, higher underutilization charges and additional inventory reserves for lower bin modules manufactured by international factories. During the third quarter, we experienced certain planned downtime for CuRe technology upgrades, as well as the unplanned downtime for the CrowdStrike event and various other operational challenges which I described shortly, and equipment repairs. We also incurred certain underutilization charges that our new factory in Alabama as we began ramping production during the period. SG&A, R&D and production started expenses totaled $123 million in the third quarter decrease of approximately $3 million compared to the second quarter. This decrease was primarily driven by lower R&D testing expenses as we sought to maximize production throughput, while transitioning certain testing activities to our recently dedicated Jim Nolan Center for Solar Innovation, along with a reduction incentive compensation expenses. Our third quarter operating income was $322 million, which included depreciation, amortization and accretion of $111 million, ramp cost of $25 million, production startup expense of $27 million and share-based compensation expense of $7 million. Third quarter, other income was $5 million, which was consistent with the second quarter. Tax expense for third quarter was $14 million compared to $28 million in the second quarter. This decrease was driven by higher forecasted income in lower tax jurisdictions, and the second quarter change in our position related to reinvesting the accumulated earnings of a foreign subsidiary, which resulted in an additional tax expense in the prior period. Combination of the aforementioned items led to third quarter earnings per diluted share $2.91. Next turn to Slide 9 to discuss select balance sheet items and summary cash flow information. Our cash, cash equivalents, restricted cash, restricted cash equivalents and marketable securities ended the quarter at $1.3 billion, compared to $1.8 billion at the end of the prior quarter. This decrease was primarily driven by capital expenditures associated with our new U.S. factories in Alabama and Louisiana along with an increase in working capital. Total debt at the end of the third quarter was $582 million, an increase of $23 million from the second quarter as a result of higher working capital loans in India, which helped support the continued ramp of our new plant in the region. Our net cash position decreased by approximately $0.5 billion to $0.7 billion as a result of the aforementioned factors. Cash flows used in operations were $54 million in the third quarter, and capital expenditures were $434 million during the period. Continuing on to Slide 10, I'd like to provide some context to our financial guidance update. Our full year P&L guidance, first issued in February remained unchanged through our Q1 and Q2 earnings call in May and July, respectively. However, in July, we noted that following the termination for convenience of 0.4 gigawatts of contracted capacity by a European power and utilities customer, who is selling a portfolio of U.S. development assets, we expected volumes sold revenue and net cash guidance to be towards the bottom end of our guidance range. As it relates to our updated guidance, there are several drivers of the forecast changes. Firstly, since our last earnings call where we referenced the global CrowdStrike IT outage, which temporarily idled our fleet for approximately 2 days, we have experienced a number of additional operational challenges. These include hurricanes Francine, Helene and Milton which made landfall across the Southeastern United States, impacting the early module deliveries within the region, but also our Louisiana factory construction, as well as causing logistical impact at our distribution centers in South Carolina and Texas. These distribution centers, along with other transport infrastructure, including the ports themselves were also affected by the International Longshoreman Association strike. In addition, an external security alert at our Ohio location while ultimately unsubstantiated resulted in full evacuation of the facilities with adverse consequences to schedule production output. Each of these events whilst not individually material have in totality had an adverse impact on operational and financial performance. Secondly, as it relates to India, as referenced on both our Q1 and Q2 earnings calls, we continue to remain concerned by Chinese dumping into the Indian market, which has led to an artificially low and challenged ASP environment for domestic sales. In response to this behavior, which threatens India's aspirations to end its reliance on an adversary by developing a domestic manufacturing base that serves a domestic market, the Indian Ministry of Commerce and Industry has recently initiated an antidumping investigation into solar cell imports from China. However, despite this investigation, domestic India ASPs remain depressed as a function of this dumping behavior, and as reflected by the approximately $0.19 per watt ASP for our recent India bookings discussed earlier. With such artificially depressed ASPs in the India market, we see the updated Safe Harbor guidance for the IRA domestic content bonus released in May 2024, providing us with an opportunity to shift India production from fixed tilt to tracker product and ship a portion of our future Indian manufactured product into the US market at higher ASPs. Net of incremental production and freight costs, we expect shipping this product to the US to be gross margin accretive relative to domestic India sales. However, given transit and delivery times to the US market, we expect this to reduce the volume of product produced by our India factory and sold in 2024 by approximately 0.9 gigawatts. Thirdly, and as again previously noted on our earnings call this year, we have seen some requests from customers to shift delivery volume timing out as a function of project development delays. We continue to work with our customers to optimize the delivery schedules for their contracted volumes to the extent we are able to accommodate them. This has been a driver of the back ending of revenue and gross margin to Q4 of this year. In some cases, we are enforcing our contractual rights to ship modules to warehouses in the event that customers are not ready to receive the product as scheduled under the contract. In other cases, we are able to accommodate schedule shifts either through reallocation to another customer or through interim storage of the module. Despite the termination of the Plug Power contract, the 0.4 gigawatts of modules, originally assumed to be sold this year, and a recent request increase for delivery schedule flexibility, we have largely been able to mitigate the impact to our sold volume guidance, which is modestly reduced by approximately 0.3 gigawatts. Fourthly, we continue to enforce our contractual rights in the event of contractual breach. The aforementioned Plug Power contract termination resulted in a termination payment entitlement recognized as revenue in the third quarter. Additionally, during the quarter, we enforced our termination rights under 2 contracts in India, which also resulted in termination payment entitlements recognized as revenue in Q3. While cash and other liquid security deposits cover a portion of these payments, order to collect the balance owed, we expect to litigate. To that end, we have filed a complaint against Plug Power and commenced arbitration proceedings against one Indian customer, and we anticipate initiating arbitration proceedings against the second Indian customer, in all cases seeking to enforce our full termination payment rights on the respective contracts. The combined effect of these impacts would serve to reduce our full-year 2024 volume sold revenue and net cash guidance numbers below those provided on our Q2 earnings call in July, with the contractual termination payments largely offsetting the reduced sold volume, resulting in gross margin, operating income and earnings per diluted share guidance within the previous ranges provided.  So with this context in mind and together with the impact of the aforementioned $50 million product warranty charge related to the initial production of our new Series 7 products, our updated guidance ranges are as follows. We expect volumes sold of 14.2 to 14.6 gigawatts, resulting in net sales guidance of between $4.1 billion and $4.25 billion. Gross margin is expected to be between $1.95 billion and $2 billion, which includes $1.02 billion to $1.05 billion of Section 45x tax credits and $60 million to $75 million of ramp costs. SG&A expenses are expected to be $445 million to $475 million, which includes $185 million to $195 million of SG&A expense, $190 million to $200 million of R&D expense, and $70 million to $80 million of production start-up expenses. Operating income is expected to be between $1.48 billion and $1.54 billion and is inclusive of $130 million to $155 million of combined ramp costs and plant startup expenses and $1.02 billion to $1.05 billion of Section 45x tax credits. We expect interest income, interest expense, other income and tax expense to net to a total expense of approximately $80 million. This results in a full year 2024 earnings per diluted share guidance range of $13 to $13.50. Capital expenses are forecasted to be between $1.55 billion and $1.65 billion, a reduction of $250 million to $350 million from the prior forecast is largely as a result of the timing of payments related to capacity expansion and R&D initiatives. Our year-end 2024 net cash balance is anticipated to be between $0.5 billion and $0.7 billion as a result of the aforementioned changes to volumes sold in revenue and the timing of receivables, partially offset by reductions in capital expenditures. Now I'll hand the call back to Mark for his concluding message.
Mark Widmar : All right. Thanks, Alex. As you all know, a week from today, U.S. voters go to polls and our industry is focused on the results and potential implication of those results. While we cannot predict the outcome of the upcoming elections, we are optimistic about the impact of our work to constructively engage with and informed policymakers across the political spectrum about the economic and strategic benefits of high-value domestic manufacturing. We are further optimistic that regardless of the results. We are continuing to build a company that endeavors to exit this decade in a stronger position than when it entered it. As we've said before, we are not immune from the long-standing challenges resulting from the continued irrational pricing and reckless capacity expansion behavior of the Chinese nominated crystalline silicon industry, and we must remain nimble in the face of near-term challenges, presented by matters such as project development delays, particularly here in the United States market. That said, by continuing to execute a strategy of disciplined growth underpinned by demand and resiliency in our order backlog, and when necessary, and only after collaborative spirited efforts of accessible accommodations cannot be reached, we will vigorously enforce our commitments. By continued investment in capital and research and development to advance the next-generation of thin film photovoltaics, which we believe presents the future of this industry, by advancing technology leadership through the development of strategic intellectual property portfolios and leverage those rights, and by our long-standing advocacy for the development and enforcement of laws that level the playing field for domestic high-value manufacturing that today are arguably within the central policy position on both sides of the aisle. By continuing to deliver upon our commitments and our history of providing certainty to our customers, which includes making efforts to do right by our customers on those occasions when we fall short of delivering on those commitments. And by adhering to our decision-making framework of balancing growth, profitability, and liquidity, we believe First Solar is positioned to not only maintain, but to build upon our more than 25 years of industry leadership. To conclude, Alex will now summarize the key messages from today's call on Slide 11.
Alex Bradley: We continue to be disciplined in our approach to contracting with 4 gigawatts of net bookings year to date leading to resilient contracted backlog of 73.3 gigawatts. Our continued focus on manufacturing technology excellence resulted in a record quarterly production of 3.8 gigawatts. Our Alabama factory commenced operations and our Louisiana factory remains on schedule. From a technology perspective, we expect to launch our CuRe lead line and commission our perovskite development line in Q4 of this year. We also sent letters to certain solar manufacturers providing notice that they're using First Solar's TOPCon patents without a license and reserve First Solar's rights in their entirety. Financially, we earned $2.91 per diluted share. We ended the quarter with a gross cash balance of $1.3 billion or $0.7 billion net of debt. We're revising our full-year 2024 guidance with full-year earnings to diluted share guidance of $13 to $13.50. And with that, we can do that for better remarks and open the call for questions. Operator?
Operator: [Operator Instructions] We'll go first to Philip Shen, ROTH Capital Partners.
Philip Shen: Hey guys, thanks for taking my questions. First one is on the chips ITC. There was news recently that wafer and ingots, facilities can take advantage of that in the U.S. And our check suggests that you guys have a door to perhaps tap into that. And so I was wondering if that's the case, do you think the recent facilities that you've brought online over the past couple of years could qualify. And then also if you can opine on whether or not you think you can get that, that'd be great. Shifting over to bookings price, it sounds like it was $0.304 per watt on the incremental 400 megawatts. That's down a touch from the prior quarter. Can you comment on why and then what do you expect there and then finally, sorry to throw so many, with India we understand what you're doing with the unsold modules. But on a go-forward basis, do you think you lower the India facility utilization? Or do you think you what is the utilization at now? And do you continue to operate it at that level or even higher ahead.
Mark Widmar: All right, Phil. I will take the first and the last one. I will let Alex talk about the bookings ASP. As it relates to the chip ITC and applicability to wake facilities that was recently announced. Clearly, we're very much engaged and aware, and we're evaluating the potential capability to our facilities. What I would say in general is the spirit of what we've seen in a lot of the intent of the IRAs to be technology neutral, and to allow for various technologies to receive the same similar types of benefits. We saw that on the manufacturing tax rate, the 45X, right. So there's $0.17 or so of value for the equivalent journey from a wafer to a cell to a module for crystalline silicon to other technology like thin films, which is whether it's today's cad tel thin film or the future of perovskite thin film. So the intent in spirit was to provide equivalency across those respective technologies, not advantage one technology over the next. Clearly, we're very happy that this decision has been made. I think it helps create that vertically integrated supply chain that we believe we need to make this enduring. And that was the intent of IRAs to enable this opportunity to transition to a domestic industry and to be vertically integrated in the supply chain. We will continue to be actively engaged and to see to the extent that we can qualify for those benefits and potentially happen to be applicable to our Alabama and Louisiana facilities in particular. I'll take the India conversation and then pass it back to Alex on the bookings ASP. Look, as it relates to India, we're in a transitionary period for that domestic market. There is -- obviously, China is doing everything it's doing globally, and it's not discriminating on any particular market, and it has such excess capacity, and it's dumping at extreme levels right now that does make it difficult for domestic industries to compete with imports. The -- what we're seeing in India is cell and wafer in particular, is at levels that make it uneconomical to manufacture domestically and to compete with the value of those imports even in the case where there's tariffs that are associated with them. That's starting to change. There's actually an antidumping case that's been taken up right now on cells to evaluate that exact behavior and impact and we're optimistic that, that will move forward in a constructive way. As we've mentioned before that there's also the equivalent of the approved list of module manufacturers that the intent is to now move that to cell manufacturers that would create non-trade barrier for imports coming from China in particular. The intent is that, that would be up and running by the end of Q1 of 2026. So they're doing a lot of things to transition in the market, which we think is healthy. We are -- we will continue to be focused on the domestic market, and we will be selective in the opportunities in which we engage if we can get prices which we believe are appropriate for the technology and value that we're creating. In the interim though, we have the opportunity to export that same technology, but for the mounting system. So the product in India is largely fixed tilt. We will be making a tracker product to ship it into the U.S. market. So again, the mounting structure is slightly different, but effectively the same technology, same product when we're shipping that into the U.S. market. And we're optimistic that we can take between the combination of getting strong prices in the U.S. market and respectable pricing and being selected and limited opportunities in India, and we'll continue to run India at its full utilization. Today, as we transition to the tracker product, it is running at its full utilization. The tracker -- the fixed cell product we were running in Q3 was at a level below the full absorption. And so we did see some underutilization charges for that India facility. But where we are today, it is running at full utilization to make a tracker product that will support the U.S. market.
Alex Bradley : Yes. And Phil on the ASPs, I wouldn't read into anything on where that 30.4% ASP is just given how smaller volume we're booking. And that's a function of that disciplined selective approach that we talked about. But just to clarify on the volumes, I think you said 0.4. So it's 0.4 gigawatts of net bookings. We did have the plug debooking in there of 0.4. So it's 0.8 of gross bookings. Within that, there's about 180 megawatts of India volume and then about 50 megawatts of volume that is going into the U.S., but it's a lot of old low-bin inventory that otherwise would likely have been scrapped. And we're selling that under a construct where it's recognized today as a booking at a very low ASP $0.05. But what ultimately happened is the person we're selling that to will then go out and sell that into the market and there's a revenue sharing. So ultimately, we'll get a much higher price for that, but today it gets recognized at that lower number. So what you're seeing is actually about 0.6 gigawatts or so, a little under 600 megawatts of new U.S. bookings and that's what that 30.4 relates to. And again that number is also pre-adjusted. So with adjusted on top of that, a lot of that volume being booked into a timeframe where we will have technology adjusted that goes up to $0.32.
Operator: We'll take our next question from Brian Lee, Goldman Sachs.
Brian Lee: Hey, guys. Good afternoon. Thanks for taking the questions. Maybe a follow-up to Phil's question for you, Mark. I know it might be tough to answer specifically, but on the Q1 call, you guys had said. I think it was 2.6 gigawatts of production in India, shipping 1 gigawatt plus to the U.S. and then presumably the rest shipping domestically in India. Clearly, that calculus is changing here. So can you give us a sense of what that mix would look like going forward? And then how many quarters it does take to reengineer and then reallocate that India volume back to the US where it sounds like you're going to take advantage of better pricing. And then just on the rest of your guidance, it seems if you do the math, it's 5.4 gigawatts or so in that neighborhood of sold volume in Q4. It's significantly higher than any run rate you've seen in the past would be a record. How derisked do you see that, volume sold level, especially in the context of you mentioning some push outs and things that maybe aren't staying on customer timelines as you might have initially anticipated.
Mark Widmar: Yes, So Brian, as it relates to India and ability to flex and to move from a fixed to a tracked product. And it's the timing from within the factory, you've got a day or so of couple of days of downtime. So to move again, the only delta we're making is the mounting structure on the back. So instead of being a steel rail that accommodates a fixed structure, it's a steel rail that accommodates a tracker mounting. There is some timing that you have to work with your supply chain to make sure that your rail supplier, in particular pivots from one spec to another spec. So there's a little bit of notice to our supply chain to give them a heads up. But the ability to toggle back and forth is we got to a point where we're pretty nimble. Now we worked a lot on that to make sure that we could our back-end assembly process and take there and our pack out to accommodate the flexibility in programming the robots as well as the automated guided vehicles and everything to toggle back and forth very quickly depending on the mix of product that we want to manufacture. So we've gotten pretty good at doing that. And Brian, in terms of the opportunity, the way especially with the new point system, we've got we'll have 14 gigawatts of Series 7 capacity. And it's very easy to blend Series 7 domestic with Series 7 international, at the same in the same projects, right. They're the same products. There's no uniqueness of either product. As we transition across our road map, we'll have to be mindful of how we transition domestic factories with international factories. So if we make a BiFi product with Series 7, we're going to want to make sure that at least for the blending of the across the geographies, we'll want to make sure India is also producing a BiFi product because it's uneconomical really or it's just not ideal to make a BiFi product domestically and a mono-facial product internationally and then put them in the same projects. And it's not the ultimate outcome of what you would try to accomplish. But ability is flexible. We intend to run the factory full out probably. If I had to give you a view longer term, given what we're seeing on pricing if things do stabilize and move in a more positive direction, I would say, over the next couple of years, it's probably going to be less than 1 gigawatt for sure in India, and the balance was going to come into the U.S. market. But we'll optimize that against underlying fundamental demand in the introspective market. As it relates to the fourth quarter and the implied [indiscernible]. But there's continued risk each and every day with scheduled movements and shifts and what have you. But we have coordinated with our customers to understand where they are in terms of their projects for receipt of modules. And to the extent that they are seeing some delays on their part, we're moving towards moving those into warehouses. But in some cases, it may be in our warehouse and then charging the customer for that warehousing costs or it could be at their respective warehouse. And it's just under the premise of enforcing [indiscernible] rights of the contract. As Alex indicated and I indicated in my remarks as well, we will continue to be accommodated and flexible where we can. But at this point in time, given the inventory build that we have over the first 3 quarters of this year, we need to move that inventory to other locations and hopefully into projects, but it's not to a customer located warehouse.
Alex Bradley : And Brian, just a couple of other comments on that. So as we begin ramping up CuRe at the back end of this year, we are assuming that volume gets sold and it's not a significant amount of volume. But as with any ramp, you've got risk around early production and just given its U.S. volume and have IRA dollars attached to it, even small amount of volume there can have some more material impact to dollars. So that's one risk. And the other I would say is, as we noted on the call, we have seen operational challenges, a lot of those from outside events, including weather events. And so as you start to ship more and especially as we look at the back end of the year, any event like that can have a greater impact as we're trying to get more product out of the door but it goes to two other things just to bear in mind as we think through the guidance for Q4.
Operator: Up next, we'll hear from Julien Dumoulin-Smith, Jefferies.
Julien Dumoulin-Smith : If I can follow up on a couple of things. First, small detail, coming out of the queue, just with respect to the S7 manufacturing warranty piece you kind of alluded to some ongoing risk. Have you fully remediated the backdrop here around the $50 million warranty liability? I just wanted to get a little bit more color there and more specifically, comfort level on resolving that prospectively. And then if I could the second question and then related to it. Going back to what you were talking about a second ago with respect to India, just want to understand the safe harbor dialogue and what you anticipate doing here. Is there a potential to effectively swap in panels maybe from a different origin than what had been previously contemplated? Is this a net increase in overall blending of foreign panels in? Or is it just about providing greater latitude on where those panels are coming from? I just want to make sure I understood exactly what you were saying there.
Mark Widmar : Yes. Okay. First off, on the warranty, I'll provide a little bit more color just because there may be other questions as well. So I also want to -- I think I may have summon over in my prepared remarks, and I may have referenced Series 6, and I'm glad Julien, you picked up Series 7, and that's clearly what Alex indicated and also what's in the -- in our filings. So this is a manufacturing issue that's specific to our initial production of Series 7. It is an issue that there is variability in terms of the production process that will impact some modules, and in some cases, it won't impact other models. So in some cases, we may see a shortfall in performance. In other cases, there may be no underperformance. It's an issue that generally needs to be identified after the modules have been deployed and they're in the field, so we can observe what is happening. And then to the extent that there is a shortfall in field, then we'll bring them in and we'll do lab testing if required to determine if there is a warrantable claim or not. There's two primary issues, both relate up to the start up to of a new technology. The first one, and these are more -- these are manufacturing issues, and I want to make sure there's clarity around this. It's not a reflection of anything, any type of defect or performance problem associated with the fundamental device. What happened with our initial start-up, we have a process when we drop the first piece of glass into the manufacturing process? And what we do is we actually grind the edges of the glass. And actually on the corners, we'll round them. There can be residual chemicals or other particles that can get onto the glass. So the very next step in the production process is to wash it. And Series 7 has a longer we refer to it as a dwell time. So the time between the completion of the grind to when the actual module is washed. And as a result of that, some of the materials were effectively calcifying onto the glass, and we could not properly clean them through the wash process. So this was what ultimately led to what we are starting to see in the field. It's an easy remediation and we have remediated. And we just changed the washing process to make sure that after the grind process that we are properly washing the module and removing all the intended particles and any residual chemicals that may come out as part of the grind process. So that's the first one. And that has been remediated. The other one was effectively referred to as an engineering performance margin. Anytime when we launch a product, we have to do extensive reliability tests, quality tests, which is done mainly in a lab and a lot of it is done through accelerated testing to determine the prediction of future field performance. This is also data that we share with independent engineers and others as they also as we work through our qualification process for a particular technology or a particular product. What happened here is we effectively had an error in the calculation. So the calculation of the engineering performance margin was underrepresented. We found this out through, again, testing of modules and return from the field and determined that, yes, we had an error in our calculation. We had to change our engineering performance margin, which that has been changed as well. So both of the fundamental issues that were identified have been corrected and remediated. And current production right now will obviously not have the adverse implications we had upon the initial launch that we saw with Series 7. Look, I also want to put it in perspective, it's only been a little over a year since we started shipping Series 7. While we do deploy modules into test sites, it is there are only a few dozens of models that get deployed into a test site. And when you have variability in your manufacturing process, you won't really see the complete variation that you have through your production process until the models are actually deployed into the field. And that's effectively what's happened here. And so we've gotten test data now that we've concluded that there are will be incremental charges to our warranty because of those performance issues that effectively escaped our quality operating system. But we've taken corrective action to address, and we've taken corrective action to create a more robust resiliency to our overall QoS system that we have. And again, I want to emphasize, this is not fundamental to the device. This is simple. One is a calculation error and the other is the manufacturing process that we didn't fully understand as we did work through our change management system, the impact of a lot of dwell time between wash -- excuse me, grinded wash would have an adverse implication into the field. It did not show up into our accelerated testing. It did not show up in any of our performance testing that we do before we ship modules. This is something that only manifests itself into the field. We're very happy that we caught it. We will stand behind our technology and address everything we need to with our customers, and we've corrected the problem going forward.
Operator: We'll take the next question from Kashy Harrison, Piper Sandler.
Kashy Harrison : So just two quick ones. It feels like perhaps there's going to be a broader strategic pivot towards sending -- maybe not quite the 25 gig as well close to the 25 gigs of product eventually to the U.S. in coming years. Based on your discussions with the customers, do you think that the U.S. market will have enough demand to absorb these volumes? And then just one quick follow-up on the CuRe plan. Just wondering how we should think about the CuRe gigawatts that could be recognized next year, the ASP uplift and then the incremental margins for CuRe?
Mark Widmar : As it relates to the U.S. market and fundamental demand for -- in the U.S. market for the output, you're right. I mean, with the current trajectory that we're on and with our contracted backlog, there's a good match between -- especially across '25 and '26 as it relates to available supply and fundamental demand that would consume any of that product that we intend to bring into the Indian market. Now we were very -- where we are right now is we're in a very strong position even in '27 from a demand standpoint relative to our U.S. bookings. We do need to think through '27 as it relates to incremental U.S. demand or, again, hopefully getting to a point in time by 2027, where we see a more robust market in India, and we get to a more balanced view of supply/demand, the production facility in India to accommodate the U.S. -- or excuse me, the India market. But I think if we ultimately half and half, I have to bring to [indiscernible] to [ get 75 ] in the U.S. market, at least fundamentally right now, what we're seeing is pretty strong demand in order to make that happen. And again, the nice thing about this is we're still enabling the domestic content value creation with our customers. That's the value that they're willing to pay for. And we also believe that the domestic content criteria will evolve, and I think most of you have seen some of the information that's been out there that the wafer, there will be some modifications that will include the wafer in terms of the domestic content calculation. Therefore, in order to qualify, you would need a U.S. wafer in order to get the value of the cell, which means that the module points conceptually will be worth more, at least the value that we contribute because we're fully vertically integrated, which gives us an opportunity to optimize the blend between the domestic and international mix of products. So yes, we're -- I think as I look across '25, '26, we're in good shape. We [indiscernible] to evaluate how things evolve in '27, but at least our initial take right now is if India market will be more resilient by '27, we'll pull some of that demand out of the U.S. market, but the portion of that is targeted to the U.S. market. Our current view is as we'd be able to consume that entire demand that we save for 2027.
Alex Bradley : Yes. As it relates to CuRe, so we said on the call that there are about $0.7 billion of adjusters, most of which are relevant to 2026, '27, '28. So we also said that CuRe, we're going to launch lead line at the end of this year, will produce just under 0.5 gigawatt of product end of this year into Q1. And then we will go and do field performance testing around that product, and then CuRe will launch again towards the end of 2025 in Phase 2. So that middle period we're doing the field testing, but also that's a period where we wouldn't see significant upside associated with the CuRe product. Hence going back to producing current product, and then the aim there is to have CuRe produced across not just the Ohio plant at the back end of '25, but moving across the fleet in time to start capturing the upside from those contractual revenue adjustments going into 2026.
Operator: And our final question today will come from Andrew Percoco, Morgan Stanley.
Andrew Percoco: Great. Thanks so much for taking the question. I guess I want to come back to the guidance for volumes sold for the year. It sounds like a majority of the reduction was a result of some of the operational challenges you've had plus some of the India headwinds that you're facing, but didn't hear too much in terms of U.S. based project delays influencing that guidance. Can you maybe just talk a little bit more about what you're seeing from customers in terms of their request for delays? Is the duration getting extended? I think you guys have historically talked about getting requests in the several week timeframe for delays. Are you seeing things get pushed 6 months to a year just given the uncertainty of the election? I'm just hoping to get more context in terms of what you're seeing from customers on the project delay side.
Alex Bradley: Yes. I'll start. Maybe Mark will add his color. So on the guide the low end of the guide before was 15.6. And we said on the last call that we expect it to be towards the low end of the guide given the termination that we had in Q2. We brought the midpoint of the guide down now to 14.4, so it's a 1.2 reduction. Just under a gig of that is related to India. And as I said as we said on the call, a large piece of that has to do with where pricing is in India today. And at the same time, we see the opportunity to bring that volume into the US at much better ASP. So you've got a challenging market in India right now, but at the same time, given the domestic content guidance, we can bring that in and actually see a significant margin uplift associated with that. The challenge though is that we have to produce tracker products. So we have some products in inventory in India that's fixed tilt product, which will be sold into the India market. Mark made the comment, it only takes a few days to turn the factory over into producing the tracker product. But now producing that, putting on a boat, getting into the U.S., getting it sold, you're not going to see that sold volume hitting this year, which is why that guide came down. As it relates to other product, non-India product, I mean, we largely managed to mitigate the risks that we've seen throughout the year. So we had the Plug Power termination that was about 0.4 gigawatt impact and actually we're only down 0.3 on non-India volume. So we managed to mitigate even a piece of that and almost everything else. Now, we are shipping some product into warehouses to Mark's comment earlier. I think we said the same in the prepared remarks. In some cases, if customers are not ready or if their projects are not ready, we are acting to do that as we can under our contract because we have commitments we've made for the year. But I would say in general, we have seen a little bit more in terms of a few more requests to move product and some of that request has been incrementally longer than before. And generally, we are trying to work with our customers where we can. But we're also sticking to contracts where we need to and enforcing the ability to ship. So I would say there's a little bit more in the U.S. I think there's a little bit around interconnection and project delays. I don't think we've really seen financing be an issue in U.S. projects. It's mostly around other development items. As I said, we've largely been able to mitigate that either through shipping to warehouses or through reallocation.
Operator: And ladies and gentlemen, that does conclude our final question today. That also does conclude today's conference. We would like to thank you all for your participation today. You may now disconnect.